Operator: Dear ladies and gentlemen, welcome to the Conference Call of Nordex SE. At our customer’s request, this conference will be recorded. [Operator Instructions] May I now hand you over to Felix Zander, who will lead you through this meeting today. Please go ahead.
Felix Zander: Thank you very much for the introduction. A warm welcome from our side. Good afternoon, ladies and gentlemen. I’d like to welcome you on behalf of Nordex to our analyst and investor call today. Our CEO, Jose Luis Blanco; our CFO, Dr. Ilya Hartmann; and our CSO, Patxi Landa, will share the latest information and developments and financial review. Afterwards, there will be a Q&A session. I would like to ask you to limit yourself up to three questions. And now, I would like to hand over to our CEO, Jose Luis. Please go ahead, Jose Luis.
Jose Luis Blanco: Thank you very much for the introduction, Felix. I would like to welcome you as well on behalf of the entire board. As Felix mentioned, Patxi and Ilya are here with me today, inviting you to the presentation and answering your questions later. After having published our updated guidance on May 24, including all the information, we will follow the usual agenda today. In the first slide, executive summary. As always, let me start as usual with the summary for the first quarter 2022. We booked revenues of €933 million, which is 25% below last year. Last year, we had a more stable revenue run rate throughout the year. As we mentioned to you before, we expect revenues to increase sequentially quarter-by-quarter due to our installation and production schedule. In addition, our installations were impacted by some weather-related delays in some parts of the world, including Germany. On the EBITDA level, we generated a loss of approximately €89 million. This includes all the adverse impacts from a challenging market environment and one-off costs from reconfiguration of our production footprint. Without this one-off cost of around €37 million, we show an operating EBITDA of minus €52 million, or an operating EBITDA margin of minus 5.6%. In this context, I would like to confirm our updated guidance for 2022 and our mid-term strategic EBITDA margin of 8%. Our working capital was at minus 11.3% and well below our target. Ilya will provide you with deeper insights later. With an order intake for the first quarter of 1.2 gigawatts, we achieved the same level last year, which is promising especially in such a volatile environment. With a share of 91% of Delta4000 platform has again shown its competitiveness and a strong track record. Furthermore, we entered the 6-megawatt class successfully and have already installed the first 6.X turbines. As a quick update on the cyber incident, we have been making good progress in solving this incident and are restoring our systems so that we are almost back to normal already. And now, I would like to hand over to Patxi for markets and order intake.
Patxi Landa: Thank you very much, Jose Luis. As mentioned, we closed 1.2 gigawatts of new turbine contracts in Q1, down 7% with respect to the same period last year. 89% of those orders came from Europe and 11% from Latin America. We received orders from 11 different countries, the largest markets being Finland, Germany, Croatia and Peru. 91% of the orders came with the Delta4000 turbines in its 4, 5 and 6-megawatt configurations. ASP increased to €0.78 million per megawatt in Q1 2022, up from €0.73 million per megawatt in the same period last year. Service sales amounted to 12.4% of group sales in Q1 with €116 million and an EBIT margin of 17.2%. Fleets under contract stands at 27 gigawatts, with an average availability of 97%. Turbine order backlog grew 24% to €6.3 billion at the end of Q1 2022 and service order backlog grew 7% to €3 billion for a combined order backlog of €9.3 billion at the end of Q1 2022. And with this, I hand over to Ilya to go through the financials.
Ilya Hartmann: Thank you, Patxi and also good afternoon from my side. As Patxi mentioned, I will now guide us through our Q1 financials and I will start with the income statement. So as mentioned, we delivered sales of roughly €930 million compared to €1.2 billion in the previous year, same period. From a budgeting perspective, there was no surprise, because the lower sales was mainly due to the lower installations as per the plan. Now we did have some additional delays from weather-related incidents during Q1 in some part of the world, for example, in Germany and there was an additional delay in installations coming from that. We expect our revenues to increase in a step up mode now each quarter as our installations gather pace. Our gross margin stood at around 13% at the end of the Q compared to 17% last year same period. This was mainly due to impacts of the cost inflation and increased logistic costs in our cost of materials until we created reclassification of some project management costs from OpEx to the cost of materials. We expect in line with what was set our gross margins will improve again once new orders start flowing through the financials and the external environment stabilizes again. As we had mentioned on our last call, this year we are taking steps to reshape our production footprint, which would result in some immediate costs of up to €75 million this year. Those will be offset in the next 2 to 3 years by savings in our production costs. So as a result, our underlying adjusted EBITDA before those one-off costs stood at around minus €50 million, while the EBITDA reflecting all the impacts just described, stood at roughly minus €90 million for the quarter compared to the €10 million positive Q1 2021. With that, I would move on to the balance sheet. The quarter ended with a healthy liquidity level. Cash level was at around €680 million in comparison to the roughly €780 million at the end of the year. To this, in both cases, we had the cash facility of roughly €90 million, so the liquidity growth end of Q1 would be of around €770 million. We now have a cash position of €350 million and an equity ratio of around 20.5%, 21%. Those levels compared to the year end are consequence of the impact on profitability by these factors already explained earlier on the call. Now on the corporate bond, this is now classified as current liabilities, which is the main reason of increase in current liabilities in the balance sheet at the end of the quarter. With that, I would go to the working capital. Working capital ratio was at minus 11%, 11.3%, in absolute numbers, €580 million and that was a further improvement to the year end level of minus 10.2%. So the further positive development in the working capital was largely driven by reaching as we can see strong milestone payments compensating the increase in inventories. Overall, the working capital ratio remains clearly below our guided number for the current year of below minus 7%, which we confirmed in our last call. Now the cash flow slide, please. We see that this quarter, the cash flow from operating activities very much reflects the negative net results. But within that number, you have a positive compensating effect on the further tightening of the working capital as just explained. Cash flow from investing activities is largely at the level of the previous year quarter and reflects the planned execution of our ongoing investment program. Cash flow from financing activities in that context is rather unsubstantial, which brings me back to the investments into the next slide. Again, total investments just shy of €50 million compared to around €40 million in the same quarter last year. As I said, program and CapEx investment, executed as planned. So we still, as we did last call, maintained the full year guidance of €180 million in CapEx, but of course, under constant review given the environment. And then the target of the investments, basically the same as compared to the previous quarter or the previous quarters. Again, the blade production facilities in India and tooling equipment for higher installation level again this year. That brings me to my last slide, which is the capital structure. For the quarter, calculation of the leverage ratio is not really applicable as we – as we are talking about net cash levels and a negative EBITDA, so not a very sensible calculation. Equity ratio, we discussed the full, coming down to 20.5%, the reasons, of course, again, the impacts from the negative results. Now, before going back to Jose Luis, as you know maybe three key messages from my side. The first quarter developed more or less as we expected. The first half of the year would be weaker altogether compared to the second half mainly due to the revenue step up and due to some price adjustments that will start reflecting in the results. Margins, one more time, have been impacted by external headwinds, like for everyone else, but also in this quarter we have seen some one-off costs or in this year that should not come back next year. Second, focuses on cash flow management with a strong working capital management and adequate risk management is one of our key priorities. Obviously and another key priority and that’s my last, obviously, key takeaways is strengthening the balance sheet is a top priority for us, as mentioned on the last call. So, we continue to review all available funding options to refinance our bonds, which is due in beginning of ‘23 and increase liquidity in the best interest of all our stakeholders. So needless to say that implementation of any such capital measures depends on a market environment as well as other developments. But with that, I will go back to you, Jose Luis.
Jose Luis Blanco: Thank you. Thank you very much, Ilya. A few words on the operational performance of the company in the first quarter. As I said in the beginning, our installations are down, partially as planned because of the change in our production of blades and partially due to the unfortunate weather conditions, especially in Europe. Totally, we have erected 197 turbines in 12 countries, around [indiscernible] megawatts, with the majority of 82% in Europe, 10% in North America and Brazil, Latin America. In our nacelle production, we assembled 304 turbines, exactly the same number as last year, but overall with a 15% higher nameplate capacity of extra 1.5 gigawatts. Due to a change of molds to produce new blades in our blade production in Spain, we have produced 270 blades in-house compared to 380 last year. In addition, we have ordered 702 blades from third-parties compared to 570 in Q1 2021, so that we are in summary on the same level as last year. If we move to the next slide about guidance for the year, we summarized here our guidance for 2022 and I would like to confirm our recently updated guidance. In 2022, we expect to reach group sales of €5.4 billion to €5.7 billion and an EBITDA margin of minus 4% to 0%. Let me also stress here that all impacts are now included into this guidance, such as the ongoing reconfiguration of production footprint, the cyber incident, direct impacts from the war in the Ukraine, supply chain disruptions due to indirect impact from Ukraine war and due to COVID-related lockdowns in China. Also important to note that costs from our internal footprint reconfiguration measures, cyber incident and direct impact from Ukraine, are exceptional in nature and should not repeat in 2023 as Ilya mentioned. Adjusting for these effects, our underlying EBITDA margin could be close to 0% in 2022. Furthermore, there is no change to our working capital and CapEx guidance. Moving to next slide. What – we wanted to provide our view on the latest order discussion in the current market environment. Let me make two points. We have seen electricity prices increasing significantly over the last year, as shown in the picture, on the left-hand side of this chart. This is a result of higher gas, oil and coal prices. We believe that a relative small double-digit increase in the wind energy prices could very easily be absorbed in the current market environment. Second, we have been constantly updating our cost structure and increasing our turbine prices. We did that last year and we are already doing this successfully right now. The new pricing ensures that we can revert to our normal margin trajectory, considering the latest cost increases in the mid-term. We are also happy to report that we continue to see good order intake momentum despite the price increases. In parallel, we are also making progress to adapt our contracts to mitigate the risk of cost increases better in the future, as we have mentioned earlier. And with that, let me move to the next slide, which is the last slide before the Q&A. Currently, as mentioned we are facing macro headwinds which are impacting our margins in 2022. However, we see a couple of positive underlying trends that we want to highlight. First, the order intake momentum continues to be strong. And second, so far, we have been able to increase prices and pass on the increases to the new orders. In the mid-term, I think everyone will agree that wind will play a massive role to achieve net-zero target and is one of the cheapest sources of energy. If market stays stable and the industry maintains pricing discipline, we believe to achieve the mid-term profitability target. And with that, handing over back to Felix for opening the Q&A session.
Felix Zander: Thank you very much, Jose Luis, gentlemen, for the presentation. And now, as said, I would like to open the Q&A and I would like to ask our operator to start with. Thank you.
Operator: Thank you. [Operator Instructions] We have a first question. It’s from Vivek Midha of Citi. The line is now open for you.
Vivek Midha: Thanks very much everyone. Good afternoon. I have two questions, please. I’ll go one at a time. The first is just a question on timing, on clarity on the balance sheet. So Ilya, you mentioned exploring various options around the bond maturity. I appreciate the difficulty announcing in advance, but when do you expect to have be able to announce to the market some picture of which options you will be taking to deal with the issue? Thank you.
Ilya Hartmann: Okay. Thanks for the question. I guess a pretty obvious one. And as you also said because I had not a public call and I am waiting for two things for that to be crystal clear. The options could be evaluated are all the ones we mentioned last time between the ones we now got the authorization for equity, equity linked [indiscernible]. And then also as last time when we spoke about still implement to the marketplace it’s clear refinance of the bond with an equal instrument. So when it comes to timing, these things are difficult to predict. I can assure that myself and the team are working intensely on those. But I guess now this call being a bit late between here and the next call when we see each other again in August, we should have at least clear picture for everyone which I wanted to tell [ph].
Vivek Midha: That’s helpful. Thank you very much. And the second question was just on the quarterly EBITDA number and just going between that and the full year guidance. So could you just help us with this in tackling the different effects in Q1 and then looking back to the effects discussed in the last call. So this quarter, there is the effect from the supply chain. There is a negative volume effect from lower installation activity. There is a positive one-off from Poland wind farm sale. Can you just give us a recap of which effects have been seen in Q1, which are likely to see in Q2 and how we go from there to the midpoint of the range? Thank you very much.
Ilya Hartmann: So I think I will start with that one. I think you said now that if you compare the quarter ex one-offs from footprint reconfiguration is you’re coming to minus €50 million, as we said. Though not guiding quarterly, I would say to everyone, I’d say Q2 is also going as I said a weaker quarter, the order of magnitude, maybe a bit more. And then in the second half of the year, it was according to what we see should turn. So as we said if one believes this to be still a bit of a more conservative range than usual, then I think what you’ve been saying about right on the midpoint. But basically, if you take those two quarters together with some residual one-off on the reconfiguration of really minor, then the next two quarters, three and four, Q3 and Q4, we should see really a positive as you been following the step-up in revenues and the better margins.
Vivek Midha: Thank you very much.
Operator: The next question is by Ajay Patel of Goldman Sachs. The line is now open for you.
Ajay Patel: Good afternoon. Thank you for the presentation. I only have one question because part of my question was already answered in the previous. It’s just on the guidance. Is there any assumptions for liquidated damages in these numbers?
Jose Luis Blanco: Yes. We have certain provisions in the forecast. Of course, this year is slightly more challenging because we were operating under, let’s say, exceptional force majeure claim situation from customers, from suppliers due to lockdown in China, due to the war in Ukraine and due to the cyber incident. Those LDs are under discussions. And we are guiding to the best of our knowledge with the best view of where we can land those discussions with our customers.
Ajay Patel: Okay. And then the second question I had is on, I think, Slide 16 you highlighted effectively greater risk occurring in the contracts that you set out. And is there any indication of what percentage of the order backlog has these types of arrangements now in place? And what proportion does not?
Jose Luis Blanco: I would say this is a sequential – it was a sequential, let’s say, situation. We started as soon as we saw volatility to try to go to reduce the scope. And then we don’t see today in the order backlog and there is almost no EPC. Most of the backlog is clean selling. Part of the backlog, substantial part of the backlog, is wind turbine only. We try as well to start implementing, when possible, where possible, back-to-back contracts for certain logistic activities. And we are starting to include inflation in PSAs, in regions like Europe, which was not the – not before inflation was very normal in taxation in Brazil in high inflationary countries was not the case in Europe – was the case in Europe for MSA or service agreement, was not the case for PSA. And we are starting to implement those as we speak. So I cannot be more precise than that. So the degree of new contractual provisions in the backlog is going to have a sequential effect. So the later we landed the order intake, theoretically, the more we are covered for the future.
Ajay Patel: Okay, thank you very much for the answers.
Operator: [Operator Instructions] The next question is by [indiscernible] of Jefferies. The line is now open for you.
Unidentified Analyst: Hi, good afternoon. Just a few questions from my side, about the low installation rate, what was it exactly that held you back in Q1? And have you already seen signs of improvement in Q2? Yes, can we start with that, please?
Jose Luis Blanco: Yes. Definitely. I think installation is going to increase speed in Q2 and especially in Q3 which, as planned, is going to be the record ever quarter in the company history. That’s the plan.
Unidentified Analyst: And in terms of on margins, what just needs to happen for you to reach the upper and lower end of your guidance by the end of the year? How do you think about that?
Jose Luis Blanco: I think – I mean, at this – we are mid-June, order intake is booked. So from the order intake, we don’t see a risk. So very much, if we execute as per the plan and there is no disruptions on availability of components, we produce as per the plan, we deliver as per the plan. There is no further cost increases driven by force majeure, basically because the cost is very much covered by contracts, so if we don’t face force majeure from our suppliers in the cost side, we deliver to the plan. That’s very much going to be more towards the upper side. And if there are deteriorations in the cost or deteriorations in the availability of components, which will trigger deterioration in the POC, then we will go to the lower side. So it’s pure operationally driven.
Unidentified Analyst: Okay. Thank you very much, that’s very helpful.
Operator: The next question is by William Mackie of Kepler Cheuvreux. The line is now open for you.
William Mackie: Hello. Good afternoon. Thanks. Three questions. The first one relates to the order outlook for the rest of the year. With respect to your preliminary thinking, are you looking at a book-to-bill above one? And can you give some scale of what sort of positive pricing effect you might be able to expect at least in the short run alongside any contract gains you win into Q2 and Q3? So, that would be the first area, order intake, pricing and volume.  Second relates to revenue. I think you just said that you expect Q3 to be a record year in the company’s history for installations. If I look at the next nine months against the bottom end of your guidance, you are looking for growth in the next nine months compared to last year, Q2 through Q4. Can you just give us a flavor of where you think the installation rates will be in Q2? What’s in the target for that? If Q3 is going to be a record, is Q2 up on last year, or is there still some impact from the challenges of the ramp-up and the transfer on the blade manufacturing? And lastly, on the profit pickup in the fourth quarter – sorry, in the second half, can you give us any sense of how that profit pickup is driven by mix, i.e., the full swing to Delta4000, and how much might be driven by price? So, the price increases you achieved were in the second half of last year. So, how much of the book the revenue in H2 ‘22 could we expect coming from the better pricing of H2 ‘21? That’s the three areas.
Jose Luis Blanco: Okay. So, maybe Patxi take the first one and we take the orders or together the orders.
Patxi Landa: I will do that. So, we don’t provide intra-quarter guidance, which is more or less full year guidance with respect to orders and [indiscernible]. But what I can share with you is that we have a good visibility in the pipeline. So, we are selling in Q1 1.2 gigawatts, as we reported. We have these numbers as well in Q2 that we will report in October [ph]. And the visibility also for the later quarters in the year is there. So, that without being too precise on a book-to-bill ratio, what I can tell you and share with you is that we have good visibility on orders. On top of this, we expect pricing, we are also able to increase the price for us to pass through the increase in cost with contribution margins that support the mid-term EBITDA profitability that we have shared before. So, good visibility in order and pricing that supports the mid-term strategic profitability for the company.
Jose Luis Blanco: Okay. Second question regarding activity in the second quarter, yes, definitely it’s going to be higher. As of today, as quarter-to-date, it’s already higher than previous quarter. But not to the level that we are planning to do in Q3 because you need to take into account the change in molds, the ramp-up in India. So, the availability of components is going to be higher now which will trigger higher installation pace in Q3 and project demand. Nonetheless, it was mentioned at the beginning, this was very much the plan for the year. Of course, the cyber-attack and the war in Ukraine brings volatility and delays and moves the activity towards Q3 and Q4. But that activity level was planned previously a quarter earlier.
Ilya Hartmann: Answer the third question on the control of Apache maybe some more numbers there, I would say, a, Delta4000 more mix versus b price, it is clearly the latter. Of course, an ever increasing mix of Delta4000 helps, but it’s already that high across the full year, so that this improvement would rather come from the pricing than from a different mix.
William Mackie: Thank you. Can I ask one follow-up? On financing, can you just provide an indication of the level of the use of outstanding funding financing and what the level of interest cost was within the quarter charged against net financial expense?
Ilya Hartmann: So, I think the total one is between the bottom line and the corporate model is to the tune of €20 million plus. And come again with the first part of the question, please?
William Mackie: The question, how much of the interest charge relates to contract bonding?
Ilya Hartmann: Overall, the interest, let’s say, I will not giving you, but I think I will give you that the idea was 50-50. So, 50-50 on the project side and the rest on other interests.
William Mackie: Thank you.
Operator: The next question is by Rajesh Singla of Societe Generale. The line is now open for you.
Rajesh Singla: Hi. Good evening. Thanks for taking my question. So, this is regarding your balance sheet. So, how comfortable are you with the balance sheet currently you have? Are you still confident of winning projects in the U.S. with – after such a deterioration in your balance sheet strength due to the issues what we have faced so far and we might face in the coming months or quarter? So, do you think that you might require further raising of capital in the next 6 months to 12 months?
Jose Luis Blanco: I think regarding the first question, one of the reasons we did the balance sheet reinforcement last year was precisely U.S. I think that proved to be a good decision. We landed orders there. Unfortunately, the balance sheet deteriorated with the execution. Sure, U.S. market is in a slowdown case and promising and regarding what to do with the balance sheet maybe better Ilya, but I think all options are on the table.
Ilya Hartmann: Yes. I think that’s basically what we said earlier on the call. And one of the aspects will be, as we mentioned last year, that especially in a market like the U.S., that plays maybe even a different role, but that’s also that part of addressing altogether.
Rajesh Singla: Okay. Thank you.
Operator: [Operator Instructions] The next question is by Sameer Shukla of Engaging Partners [ph]. The line is now open for you.
Unidentified Analyst: Yes. Hello. Thank you for taking my question. Three questions, actually. So, the first one is when do you expect the new European contracts to start phasing into the P&L to the point where your cost base is significantly de-risked? Second is your exposure on pass-through contracts with suppliers versus the pass-through contracts with clients. Are you exposed more to the suppliers on the short-term versus the clients longer term? And the third one is, vis-à-vis your guidance, which in the previous call you mentioned was a bit conservative, do you still regard it as conservative? Thank you.
Jose Luis Blanco: Okay. So, the first question, the typical execution time in – for projects in Europe, 12 months to 24 months, depending, it’s project-by-project, but averaging in the middle, so 18 months. Regarding customers and suppliers, we always mentioned that it’s impossible to hedge all cost functions. And it’s true that with customers, by nature, we are long. And with the suppliers, by nature, in several cost factors, we are short. So, there is an exposure there that it seems to stay at the current level. This is factored into the guidance and into the mid-term strategic targets. If still deteriorate, it’s going to put risk. If substantially improved, it’s going to be an upside from the costing side of the company side. From the revenue side, the contracts are the contracts. And the only thing that can change in the future is if we keep selling at what margin and how stable is going to be the cost going forward. And the last question was around…
Ilya Hartmann: If we still qualify the guidance range as conservative as we did on the guidance adjustment call.
Jose Luis Blanco: I think we haven’t changed our view in the last month. I mean we haven’t changed our view about the guidance. We haven’t changed our view about the uncertainties and the uncertainty of the environment where we operate. I mean environment is volatile and there are many variables that we see every day. Oil price and electricity prices are somehow is good for the business long-term, but there is massive cost pressure in the short-term. I don’t know if this has answered your question.
Unidentified Analyst: So, you still see it as conservative? There is no…
Jose Luis Blanco: Yes, we haven’t changed. We haven’t changed our view.
Unidentified Analyst: Okay.
Operator: The next question is by Richard Alderman of BTIG. The line is now open for you.
Richard Alderman: Good afternoon. Thanks for the presentation. I wonder if you could just tell me what your current cost of debt is and how you see that transitioning into 2023? And then one further follow-up question. I think you answered to Ajay’s question about liquidated damages that there are some discussions and outstanding claims. Can you give us some idea of what your worst-case scenario is on how long it will take to resolve those and what the total quantum would come to?
Ilya Hartmann: I will take the first one.
Jose Luis Blanco: Yes.
Ilya Hartmann: So, have charge of interest runway for the full year is, give or take, around €80 million between the bottom line, the core performance, the shareholder loan and some minus up, so €80 million, give or check.
Jose Luis Blanco: Regarding the LDs, I think we haven’t planned such a worst case, because I think our case is strong. I mean the lockdown and the war and the cyber-targeted – cyber incident, we are seeing strong cases to protect our late delivery of certain projects. Unfortunately, as we mentioned, we don’t have cost increase relief, but we should have bank relief, which is what we are planning. So, we haven’t planned for the worst case.
Richard Alderman: Thank you.
Felix Zander: Okay. This is Felix speaking. All questions are answered so far I mean making in our call. [indiscernible] before leaving, I would like to hand over to Jose Luis. Please, Jose Luis, provide us with your final remarks for today.
Jose Luis Blanco: Yes. Again, thank you. Thank you very much. Thank you very much for your time, for the questions. And as a last remark, a little bit summary of our call. Demand for Delta4000 remains strong, especially with the new variants. Margins, as discussed, short-term severely affected by the Ukraine conflict and the recent macroeconomic events like many other industries. However, as it was mentioned in the call, turbine prices already improving in new orders, paving the way for margin recovery from ‘23 onwards as the 2021 order book runs out. We discussed as well that including electricity prices, is a shorter cost issue for us, but it’s a mid-term opportunity, coupled with potential demand growth of this opportunity for cost increases and cost pass-through and hence helping to reach mid-term 38% EBITDA once macroeconomic environment has stabilized. And last one, to conclude, the guidance for 2022 includes impacts from macroeconomic headwinds and footprint configuration confirmed. And with this, again, thank you for your time and attention, and wish you a wonderful rest of the day.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded. You may disconnect.